Operator: Good day and welcome to the IMAX Fourth Quarter and Year-End 2005 Conference Call. As a reminder today's call is being recorded. At this time for opening remarks and introductions I will now turn the call over to your host Mr. Brad Wechsler. Please go ahead, sir.
Bradley J. Wechsler, Co-Chairman, Co-CEO: Thank you operator. Good morning everyone and thank you for joining us today for our fourth-quarter 2005 call. Joining me as always is my partner co-Chairman and co-CEO Rich Gelfond. Also with us are our General Counsel today, Robert Lister, and our CFO Frank Joyce, and our Senior Vice President of development, Stephen Abraham. Before we begin, let me remind you of the following information regarding forward-looking statements. Our comments and answers to your questions on this call may include statements that are forward-looking, in that they pertain to future results or occurrences. Actual future results or occurrences may differ materially from these forward-looking statements. Please refer to our SEC filings for a more detailed discussion of some of the factors that could affect our future results and occurrences including the 10-K, which we are filing later today. Our fourth quarter 2005 financial results were issued this morning in our press release for all of you to review. During today's call references will be made to certain non-GAAP financial measures as defined by Regulation G of the Securities and Exchange Commission. Discussion of management's use of these measures and reconciliations to GAAP measures are contained in the Company's fourth quarter earnings release and our 10-K. The full text of the earnings release along with supporting financial tables is available on our website: www.imax.com. First, let me briefly outline the agenda for today's call. I will review the progress we made in 2005 including our financial and operating results. I will then turn it over to Rich for an overview of 2006 as well as today's announcement regarding our decision to pursue strategic alternatives for the Company including a possible sale. Finally we will open the call up for all of your questions. I think it is particularly important to begin by taking a step back to look at our performance in '05, particularly in the context of IMAX's evolution since we began the business model transformation five years ago. When we first outlined our commercial strategy, our goal was to make IMAX an integral part of the release platform for Hollywood event films. Today I'm pleased to say we have achieved that goal. Supported by the strength of our proprietary DMR technology, we are now able to convert Hollywood films into IMAX Films in as little as two weeks. In addition to partnering with studios, we are partnering with exhibitors around the world to convert Multiplex Auditoriums into IMAX Theaters. The MPX system we developed enabled commercial exhibitors to include an IMAX theater in a multiplex at a much lower cost than building a standalone IMAX Theater. These initiatives have been tremendously successful and this is reflected in our steadily improving financial performance. We have clearly strengthened our business model and broadened our potential market while being embraced by major studios, leading film exhibitors and consumers around the world. As we look ahead, we believe that our one-of-a-kind release platform coupled with our consistently expanding network of theaters leave us exceptionally well positioned for the future. To facilitate our efforts in this regard, today we announced that we would be seeking a partner to accelerate the implementation of our growth strategy. This decision reflects not only our excitement as to how far we have come but our enthusiasm about how much further we think IMAX can go. In many respects fiscal '05 optimizes the successful execution of every component of our strategy. At the beginning of the year we laid out several aggressive strategic and financial goals. We said we would earn $0.35 to $0.38 per diluted share for the year, and we are very pleased to have exceeded the high-end of that range, posting $0.40 of earnings per share in fiscal '05. In addition, we ended the year in a solid financial position with approximately 33 million in cash and short-term investments on our balance sheet. We targeted 40 to 45 system signings and we came in at the high-end of this target range with 45 signings. Finally, we committed to release four new DMR pictures in 2005, up from 3 in 2004, a goal we also met. Importantly, the performance of our '05 films was exceptional with IMAX DMR domestic box office, received up by 35% compared to a 5% decrease in domestic box office in the conventional business. So as you can see '05 was a year of aggressive goal setting, and we are very pleased we have delivered at all fronts. Now I would like to review our fourth quarter performance in a bit more detail. In addition to our earnings range, we were very pleased with our new theater signings, theater installations and film performance. We signed 8 theater deals in the fourth quarter, which brings our total for the year to 45 including one subject to a condition. This compares to 36 signings in '04 and 25 in '03. In addition, some of you track settlement numbers, and in the fourth quarter we had under $1 million in consensual lease buyouts, terminations by default and MPX conversion agreements. Our backlog at the end of December consisted of 62 systems with a value of $101 million, and as we have said in the past, signings remain the best indicator of our future financial performance. For the quarter we completed 14 theater installations, which is a record for a single quarter. This was inline with our previous guidance and contributed to our total install number of 34 theater systems for the year, a 62% jump from '04. This highlights an important point as we continue to grow, our business is very scalable. That is to say to continue to grow manufacturing capacity, we would need to add additional personnel but we would not have to commit significant amounts of capital to 6 plants or other items. The strong installation numbers also highlight the international nature of our business with nine of these theaters installing in multiplexes in four different countries: the U.S., South Korea, China and Russia. As installations continue to grow, we are effectively securing the continued growth of the global IMAX network. And due to the steady stream of increase both domestically and abroad we're maintaining a high level of confidence going forward. Turning to our fourth quarter film performance, we released the IMAX DMR version of Harry Potter and The Goblet of Fire, the fourth in the Harry Potter series. Thanks to the growth of the IMAX network we released Goblet of Fire in approximately 7 domestic theaters, up from 49 that showed Prisoner of Azkaban, the third film in the Harry Potter series. The expansion of our network helped Goblet of Fire gross almost $20 million, significantly outpacing Prisoner of Azkaban's $14 million. This highlights dramatically how signings and installations translate not just into lease revenue but film revenue as well. The film's strong performance was also driven by our ongoing partnership with Warner Brothers as their expertise and marketing power helped generate awareness of the IMAX version of the film. From a cost perspective, I should point out that the cost for us to convert a 2D DMR film is typically in a range of $1.5 to $2 million. Because this cost doesn't change, we're able to recognize incremental margin growth as we leverage IMAX Films over our ever-expanding network of theaters. Again this is the point that underscores the scalability of our business. About a week after the release of Harry Potter, we re-released The Polar Express in IMAX 3D. We were thrilled to see this film gross approximately $15 million in its second season and its performance is particularly noteworthy because the film was simultaneously released on DVD, meaning customers traveled in large numbers to IMAX Theaters even though they could have watched the DVD at home. Of course, that $15 million was on top of the $45 million that the film grossed in its initial release in 2004. We think that The Polar Express can easily become a classic that families will choose to see in our format year after year. One component of the quarter that was softer than expected was the performance of Magnificent Desolation. This was an institutional film that simply didn't capture moviegoers' imaginations as much as we had hoped, especially in commercial locations and this hurt our revenues for the fourth quarter. One of the most important ways we judge the success or failure of a year's film plate is in aggregate, is its ability to deliver an average per screen gross of $1 million or more, something we have discussed with you many times in the past because this is the level necessary to generate an impressive three-year payback on an MPX retrofit investment. On this front, 2005 was again a very successful year, with all commercial screenings averaging approximately $1.2 million in gross box office. When we segment that number further, and look at Multiplex screens only, we averaged about $870,000 per Multiplex screen in '05. This still equates to a 29% cash on cash return or about a 3.5-year payback. It is important to keep in mind that in '05 we had only four day-and-date film releases, none of which were in 3D. While in '06 we will have six day-and-date DMR releases, three of which will be in 3D. A discussion of '05 wouldn't be complete without taking a moment to recap what unfolded on the digital front. As you recall, there was tremendous anticipation surrounding the release of Disney's Chicken Little in digital 3D in conventional theaters. As we indicated on our last call, we were very excited to see Hollywood embrace 3D as an appealing format, and we believe that the availability of more 3D contents would be very good for IMAX in our release window. Supported by an enormous marketing campaign Chicken Little grossed approximately $8 million in 3D on approximately 80 screens, of which public data seems to indicate about one-third was incremental. By comparison, the IMAX 3D version of The Polar Express grossed $45 million on the very same number of screens and released last year, and data demonstrated that this IMAX box office was virtually all incremental. Although digital 3D likely has a place in the theater's offerings, results showed there is a demonstrable difference both financially and experientially between the traditional movie going experience and IMAX. Simply put IMAX's 3D presentation is in a league of its own, and when it comes to immersing the audience and putting viewers inside the movie, nothing stands next to IMAX. It is a premium experience at a premium price and very, very different from the conventional exhibition experience whether film or digital. Digital certainly offers exciting possibilities for the exhibition business and we think IMAX is poised to ultimately be one of the largest beneficiaries. One of the major motivating factors driving the demand for digital theater systems is the cost savings to be realized by the elimination of film prints. While a 35-millimeter film print costs approximately $1200 and IMAX 3-D DMR print can cost upwards of $40,000, so the potential savings of moving to a digital product are significant to say the least in our business. The on cost savings of a digital IMAX digital theater system will also allow IMAX to increase programming flexibility and opens up the opportunity to offer live events in the most spectacular ways. We are making some significant progress and hope to tell you more about our digital plans in the future. However, we want to emphasize one critical point, we will not produce a digital IMAX Theater system until it can deliver the premium IMAX experience that defines our brand. Before Rich walks you through some of the exciting films ahead in '06, I would like to review some financial line items for the three months ended December 31, '05. For the fourth quarter earnings from continuing operations were $10.8 million, up 43% from $7.6 million in Q4 of '04. Net earnings were $0.29 per diluted share, which contributed to net earnings for the year of $0.40 per diluted share exceeding our guidance. Total revenue was $49.3 million as compared to $47.5 million for the fourth quarter of '04. Included in systems revenue for the fourth quarter was 900,000 of revenues associated with consensual lease buyouts, terminations by default and MPX conversion agreements. Breaking that down further, film revenue for the quarter was $8.2 million, down from $10.7 million in the year ago quarter, which reflects the performance of Magnificent Desolation. Theater operation revenues for the quarter were $5.2 million, versus $6.2 million in the fourth quarter of '04 as our theaters comps against the very successful initial launch of The Polar Express last year. Other revenues were $900,000. Turning to expenses for the fourth quarter, SG&A was down $3.3 million to 8.3 million. This decrease is primarily due to cost control efforts. R&D expenses for the fourth quarter were about $800,000. As Rich will discuss later, given the process that we have begun, we will not be providing guidance beyond next quarter, which I will address briefly right now. As you know, the first quarter is traditionally weak, and this year we expect to have only one install, and to report a net loss of around $0.10 per share. It should also be noted that similar to 2005, we expect 2006 will be heavily back loaded, back-end loaded. With that, let me turn it over to Rich, who will provide some more color on '06, in particular our stellar film slate and our decision to pursue strategic alternatives.
Richard Gelfond, Co-Chairman, Co-CEO: Thanks Brad and good morning, everybody. Clearly 2005 was a year of significant progress for IMAX. We are particularly pleased to have achieved our financial and operational goals despite a challenging landscape for the larger industry. IMAX offers the premium movie experience, and continues to prove that our entertainment offering is one that keeps consumers coming back to theaters. We hope to be part of the solution to the overall box office decline and perhaps the best illustration of how we plan to do this is to take you through our goals and outlook for 2006. First, we expect signings, installations and film performance to continue to accelerate in 2006. As we keep emphasizing the most important indicators of IMAX's future growth are signings and films; and to that end we expect to sign deals for 45 to 50 new systems for the year. Regarding installations, we plan to install between 38 and 45 systems in 2006. A strong film slate continues to be an essential component of our commercial strategy, and we are thrilled to have six IMAX DMR films locked in for release in 2006, three of which are IMAX 3D films. On the heels of Roving Mars, and the just released Deep Sea 3D, we think our 3D offerings will continue to bring a lot to our film slate. Perhaps most importantly and anecdotally having had conversations with exhibitors myself and seeing their reaction to it, our strong lineup means that we will have a new release every six to eight weeks, which is both psychologically and financially very important to our exhibitors. It also marks the first time that we have had such a regular flow of content, which is yet another reflection of the success of our commercial strategy. Our year of films began last week with a strong opening of Deep Sea 3D, a 45 minute original IMAX production, we released with Warner Brothers. The film grossed approximately $700,000 or just over $16,000 per screen in its opening weekend domestically, and received nearly unanimous positive reviews. At our owned and operated theaters, the film grossed more than double what Magnificent Desolation did in its first weekend and came close to what NASCAR did in its first weekend. We are also very much looking forward to the March 17th release of V for Vendetta, which is a week from tomorrow. V is R-rated so it will open on only 56 domestic screens rather than the larger number for Harry Potter as some theaters are playing Deep Sea 3D. This action adventure movie comes from the creators of the Matrix Trilogy; it will be simultaneously released in IMAX and conventional theaters. The film stars Natalie Portman, and was produced by Joel Silver and the Wachowski brothers. The initial reviews and buzz for the film are very positive; in fact Time Magazine called it "a terrific movie" and said "it is up there with the Wachowski's first Matrix movie." A number of our senior management team including Brad and I have seen the film and we are extremely excited about its prospects in IMAX. In May, we will release the IMAX DMR version of Poseidon, an update of the 1972 disaster classic, The Poseidon Adventure. A film tells the survival story of passengers aboard an ocean liner toppled by a colossal tidal wave. And we think the famous capsizing scene in particular will really make for a powerful moment on the IMAX screen. As we have seen historically, we think both V for Vendetta and Poseidon will benefit from Warner Brothers strong commitment to market in the IMAX DMR versions of their films. As a result of their efforts to consistently and seamlessly integrate IMAX into their marketing campaign, we're seeing an enormous difference in the performance of these films. And in fact both films were advertised during the Super Bowl. June will see the release of the DMR version of highly anticipated Superman Returns, which is expected to be one of the biggest films of 2006. The film stars Brandon Routh, Kate Bosworth and Kevin Spacey, and is directed by the Usual Suspects and X-men, Bryan Singer. We think this superhero's return is a perfect fit for the scale and tower of an IMAX presentation. Superman will be followed by six solid months of IMAX 3D DMR films. Just to remind everyone IMAX 3D continues to be one of our most exciting opportunities. Much of the success we had this past quarter with the re-release of The Polar Express and its initial success is attributable to the fact that the release and the re-release were in IMAX 3D. Consumers essentially voted at the IMAX box office. And what they told us was that they think 3D brings something special to the viewing experience. And we feel that 3D films that we have lined up in '06 are no exception. We remain very excited about the August release of the computer-animated film, The Ant Bully. This film is voiced by an all-star cast and has a great storyline with wonderful themes that will appeal to kids and adults alike. And finally November will mark the release of another Warner Brothers film, Happy Feet, which is a terrific story about a penguin trying to find its mate through dance because of its lack of ability to sing, which is the way penguins in this world typically find their mate. This film has a great cast that includes Nicole Kidman, Hugh Jackman and Robin Williams and is being directed by George Miller who directed the Babe film, Lorenzo's Oil and the Mad Max Trilogy. We think that Happy Feet will be one of the biggest movies of '06 and will look spectacular in IMAX Theaters. In case you missed it, late yesterday, we were very pleased to announce our sixth day-and-date DMR release and fourth IMAX 3D film for the year with Open Season, an animated Sony pictures feature from the director of the Lion King, another great family film. Open Season tells the story of a deer who befriends a grizzly bear, when the two animals are alone in the woods during hunting season and the film boasts an all-star cast on contributing voices including Ashton Kutcher and Martin Lawrence. We have said before that we are excited about the possibility of expanding our studio relationships and we're pleased to partner with Sony for the release of this film. We last partnered with Sony on Spiderman Two, and we look forward to working with them again to provide Open Season moviegoers with the IMAX experience not found anywhere else, particularly in 3D. Overall we think our solid 2006 film slate will be instrumental in driving recurring revenue. We believe we could also introduce more recurring margin into the business model by establishing successful MPX retrofit joint ventures. As we look ahead, I think it is worth reiterating that our films will continue to buff the box office trends for traditional 35-millimeter films. As we said before, in the 35-millimeter world the 2005 domestic box office was down about 5% as consumers increasingly chose to stay home and watch DVDs, browse the Internet or play video games. This compares to a 35% increase for IMAX DMR films. Clearly the experience IMAX delivers is unique and cannot be replicated in the home or anywhere outside of IMAX Theaters. This experience in our trusted brand brings people into our theaters and continues to be reflected in our financial results. Looking out to 2007, we intend to capitalize on the momentum we have generated and have already in discussions with multiple studios about some of the biggest movies on the horizon. We can't go into detail yet but really excited about these opportunities and look forward to keeping you apprised of our progress. In addition to our performance this past year and our prospects for the future arguably the most significant news we are communicating today is that we have retained Allen & Company and UBS to explore strategic alternative for the Company including a possible sale. Let me spend a few minutes to take you through why we have decided to take that action and what our process will be. With the implementation of our commercial strategy well underway, we feel our prospects are brighter than ever. We’ve successfully made IMAX an integral part of the release platform for major Hollywood films. We continue to partner with exhibitors to convert conventional multiplex auditoriums into IMAX Theaters, which has enabled us to grow our network. And as we just reviewed, our 2005 financial results demonstrate the success of these strategies. Combine this with a changing entertainment landscape driven by better home theaters, more entertainment options and collapsing release windows and IMAX's value as a differentiated cinematic experience has never been higher. We think now is the perfect time to take the next step forward in our revolution as a brand and as a company in an effort to accelerate our growth and realize the full potential of IMAX for exhibitors, studios and moviegoers around the world. Our Board of Directors and our senior management team believe that to realize this vision as quickly as possible a partner either strategic, financial or both makes tremendous sense at this time. A partner or an acquirer can help take IMAX to the next level in any number of ways. Including providing additional capital to accelerate our attractive joint venture strategy, helping us develop new technological innovations or adding to our brand and marketing reach. We’ve recently received several inquiries from prospective buyers, and we think this preliminary interest shows that there is awareness of the strength and attractive qualities of the IMAX business. This was a key factor in our decision to make this a public process. Could we go it alone as a public company? Of course, and I point to our current business momentum with increases in signings, installations, revenue and earnings as evidence of our ability to deliver on our strategy and financial goals. And if we don't achieve sufficient consideration for our shareholders that will continue to be our path. However today we believe IMAX will reach its full potential sooner and with more certainty without the limitations that short-term benchmarks that a company navigating the public market. During this period, we will communicate a bit differently than in the past, although we will continue to update you on our movie slated installs each quarter, we will refrain from giving financial guidance beyond our Q1 outlook of which Brad provided. We will also be posting pertinent information on our website for investors and referring inquiries to pre-existing public information. Again given the nature of the circumstances and how sensitive the dissemination of information can be during this time our feeling is that investor conferences, Road shows and one on ones are not appropriate. Therefore we will stick to somewhat of a quiet period and update you all as we release our quarterly financial results. We hope you all share our enthusiasm not only for 2005 accomplishments but what may develop for IMAX in 2006 and beyond. Thank you very much for listening and we're happy to take your questions.
Operator:
Operator Instructions:
Q - Eric Wold: Hi good morning guys.
A – Richard Gelfond: Hi Eric.
Q - Eric Wold: I know you can't give full guidance or give that much guidance on '06 but non-financially can you talk conceptually about obviously Harry Potter four opening up on a big number of screens and growing throughout its run? Can you talk about where you see the films releasing in '06 kind of ramping in terms of the number of screens they will be showing on starting with where V for Vendetta starts out and ending at the end of the year?
A - Richard Gelfond: As we said V is only opening on around 55 screens because of its R rating, although as we also said we feel very good about that film. But you have to combine V screens with Deep Sea screens, and Deep Sea is on 43, some of those are overlapped. But when you look at the total its consistent with sort of the number of commercial screens that Harry Potter opened on. Then we go to Poseidon, which I think will have a wider reach than V because it’s rating won't be R, its content is different. I think that will be pretty wide. I think Superman will likely be on at least as many screens as Harry, probably more because the network will be expanded by that period of time. And then I think when you go into the 3D films, which are Ant Bully, Open Season, which we announced today and Happy Feet, I would expect to see even more screens both because of the family nature of the films and the fact they are in 3D and they are later in the year when we should have more theaters open.
Q - Eric Wold: Okay, I mean would it be unlikely to have the ones at the end of the year playing on something north of 110, 115 screens?
A - Richard Gelfond: It is really hard to say, Eric. As you know we gave guidance for installs in the year. We said they would be backend loaded so I don't think I more specifically want to guess what quarters the theaters are going to open in. But I would say certainly I would be surprised if they did not play in over 100 screens.
Q - Eric Wold: Okay and just two questions now on the 38 to 45 installs. One, how many of those installs do you currently have in backlog already signed? And then two, what number of those installs would be theaters that would likely show one of these Hollywood DMR films. Would any number of those theaters that are either institutions or what not that are unlikely to show these movies?
A - Richard Gelfond: The vast majority of the theaters with the installs that are coming out of backlog are commercial theaters so they would be likely to show the films. The lower end of our range assumes signed and installs consistent with the number of signed and installs we had this year, in '05 and the higher end of the range assumes more signed and installs than we had this year which would be consistent with our much stronger film slate and the heavier steering toward 3D.
Q - Eric Wold: Okay to make sure I got those numbers right, you signed and installed nine last year in '05, so that means you probably have about 29 in backlog that will be installed this year already?
A - Richard Gelfond: We signed and installed 14 in '05, Eric.
Q - Eric Wold: Okay, better. Then lastly the less than $1 million in lease terminations in Q4, any initial guess or anything you want to say on what it might look like for '06 or is that too much guidance?
A - Richard Gelfond: Again I think, largely as we said during the script because of the speech I don’t think we want, because of the sale that we mentioned in the speech, we don't want possible sale on other alternatives; we don't want to be that detailed. But we said previously that we thought settlements will be significantly lower in '06 than they were in '05 and that is certainly consistent with our view.
Q - Eric Wold: Okay. Thanks, guys.
Operator: Thank you. And our next question will come from Rich Ingrassia with Roth Capital Partners.
Q - Rich Ingrassia: Thanks good morning everybody. Can you give me -- I think everyone maybe could use a clarification refresher on the source and effects on receivables recovery and also discontinued operations, just to help everyone's understanding since together it was $0.03 to $0.04 in the quarter.
A – Richard Gelfond: Why don't I do discontinued, and Frank can do receivables recovery. Discontinued operations many, many those of you that have noticed for a long time we had invested in a company called DPI, which was one of the original movers and licensees of Texas Instruments in the late 1990s. We basically sold that company back to management in the early 2000 period and have started and accounted for in terms of discontinued operations. There was a trail of money that was owed to us over a period of time so that was money that was coming from DPI. And Frank on recoveries.
A - Frank Joyce: Recovery receivables, is basically a series of receivables that were provided for in 2001 and 2002 for which we have made some collections and they are no longer in doubt.
Q - Rich Ingrassia: Okay thanks for that and Frank, cash flow from operations in the quarter?
A - Frank Joyce: I have it for the year.
Q - Rich Ingrassia: Okay. Maybe while Frank is doing that, can you say a little more about the digital IMAX initiative. How much do you expect to put towards that in cash this year on investing in R&D? And how is your approach different than it was back in 2000 with the DPI investment?
A - Brad Wechsler: Well I think we are more increasing our cash investments in R&D digital mostly because I think we mentioned in the speech it could be really good for IMAX because of the print savings that are implicit in the system, as well as obviously bringing additional programming to us. But the disparity as we said before IMAX 3D print at $40,000 and a 35mm print are $1200, you can just see how the economics are very, very different. Now this could be very, very beneficial to us. So yeah, we are going to spend to make this happen but just to repeat the really important caveat, which ties into the second part of your question, which was what is different. The technology was just simply unavailable in year 2000 to get an image anywhere near to IMAX quality. And it was using in fact, at the time it was basically all Texas Instruments technology, and that is the technology that has been introduced into the marketplace right now. With the TI chips both a long time ago was 1K chips and then they elevated it to 2K chips; you can't get IMAX size and IMAX quality so we have to do it in order to protect our premium and differentiated experience. We have to make sure that we have a great digital image and that is where our R&D dollars and our efforts are going to go and that is where - we are already in an R&D phase on this.
A - Richard Gelfond: So, one thing that I want to add Rich is that during '05 there was other R&D expenditures such as further development of our MDX system which is big in '04 and '05. So I don’t want you, you can't look at our digital spend as incremental to what it was in the past year. In some cases it substitutes a different R&D initiative that we had in prior years.
Q - Rich Ingrassia: Okay and finally on Open Season, wasn't there some concern, I would expect one to have some concern if that might infringe on the Happy Feet release. And I have Open Season at the end of September, but that could I suppose get pushed out, I don't know that date is locked in. Was there any concern there from Warner Brothers?
A - Brad Wechsler: No, I think everybody is quite comfortable with spacing, giving films six to eight weeks, I think its just perfect. That is one of the reasons we are very pleased about the way '06 looks. Not only do we have the good products, product that we think is great also spaced very, very well for our customers.
Q - Rich Ingrassia: Okay thank you.
A – Richard Gelfond: Thanks Rich.
Operator: Moving on our next question will come from Ken Silver with CRT Capital.
Q - Kenneth Silver: Good morning guys. I have some questions about; I guess first the unsolicited inquiries that you mentioned, can you talk at all about whether they were from strategic parties or financial parties or both?
A – Richard Gelfond: No, sorry, Ken. I mean you know the rules of this, no.
Q - Kenneth Silver: All right, and then I have some questions about cash flow for 2005. I guess as a whole what was your CapEx and film investment?
A - Frank Joyce: CapEx in total for the year was about 11.4, of that about 9.8 is film.
Q - Kenneth Silver: Okay and then just looking at some of the working capital items on the balance sheet that you guys provided, the major ones on the asset and liability side it looks like there was maybe 11 or 12 million of cash that was used there. And then you had interest in like 15?
A – Richard Gelfond: Your interest number is about right.
Q - Kenneth Silver: Yeah, but your cash balance didn't really move up very much (multiple speakers) just trying to bridge that gap. And those are the major components, right?
A - Frank Joyce: Year-over-year cash is up, receivables are up by about 10 million and a good part of that is due to the 14 installations in Q4.
Q - Kenneth Silver: Okay. What about -- I know you are not giving sort of P&L guidance, what about CapEx? How much CapEx do you think you are going to have in '06?
A - Richard Gelfond: Things will change radically in CapEx but we're not giving any more specific guidance than that.
Q - Kenneth Silver: But you are going to have two more DMR films so are we supposed to assume that is another sort of 4 million?
A – Richard Gelfond: Ken, we're not going to get into the details. There aren't going to be radical changes.
Q - Kenneth Silver: Do you think you are still going to use your cash from a working capital point of view too?
A - Richard Gelfond: What do you mean use it outside? I don't understand the question.
Q - Kenneth Silver: Your working capital went up during 2005.
A – Richard Gelfond: It is hard for us to predict that right now.
Q - Kenneth Silver: Okay, how many multiplexes have IMAX Theaters-- how many IMAX Theaters are in multiplexes?
A - Richard Gelfond: Ken, to give you a fuller answer I think we would all really expect the business to look radically different; I don't want to be evasive, we're just not giving more detailed guidance. But you should come away with the impression that the characteristics of the business based on what we know from a cash flow point of view won't be very different in '06 then they are in '05.
Q - Kenneth Silver: That is great. Thank you. How many IMAX Theaters are in commercial multiplexes?
A – Richard Gelfond: There are 53 in North America, 27 internationally so it is about 80 today.
Q - Kenneth Silver: I am trying to understand, why wouldn't a commercial multiplexes show an R rated movie in an IMAX theater?
A - Brad Wechsler: There are a lot of reasons. First of all, I mean, they might but the studio might not be releasing it at the same time. So for example in the release pattern on V where we said its 55 and some of the markets break later, they don't break day-and-date around the world the same day. Some of the theaters are in what is called competitive film zones where the exhibitor only gets half of the movies; they don't get all of the movies. So they may not get this movie, they may get another one. Some of the exhibitors, some of the commercial ones, I know elected to play Deep Sea 3D and to give it more playtime because they do very well on these kinds of movies. So there is, and Deep Sea 3D is a 3D film so they feel marketing a 3D product is to their advantage so there is all kinds of reasons.
Q - Kenneth Silver: Yeah okay and then great, there is one last question. I know you sort of briefly mentioned 2007, do you see, sort of the opportunity to have sort of a similar level of spacing of films in '07 based on what the schedule looks like preliminarily for all of the films out there?
A - Richard Gelfond: I think it is harder to talk about spacing than it is today that we think that our progress if you chart it from '03 to '04, to '05, to '06 in terms of films in the system has been great. I mean it’s a nice line going upward. We think this year with six DMR films and one original programming, we are getting to exactly where we want to be and I think where we predicted a number of years ago where we wanted to do was to bring the best film in the IMAX Theater space throughout the year. Spacing is a little difficult to predict, until the studios actually locked in their distribution dates, the release dates. And they haven't done that for all of '07 yet, so we know it is the products we're looking at but the dates are still moving around.
Q - Kenneth Silver: Okay fine, thanks a lot I appreciate all –
Operator: Next one is from Matthew Harrigan with Janco Partners.
Q - Matthew Harrigan: You said on your last call that the timeline for getting to live-action DMR releases had been extended out given how long the conversion process of the film was as your software improves and all of that. What are the prospects for 2007 is it something you certainly see over the next couple of years or is there even a fair likelihood that we could see something next year?
A - Richard Gelfond: I think in terms of seeing a whole film Matt, is still probably a year or two away from a full film. But we are in discussions right now about converting part of a film, a live-action film. And I wouldn't be surprised if some thing happened within the next year.
Q - Matthew Harrigan: And when you look at strategic partners, would that include people who had a particular technology expertise like a Sony or a TI?
A - Richard Gelfond: We are very open-minded. One reason we went the public process is because IMAX isn't a business where there is another business that is exactly like IMAX. And the number of companies that we think could have interests in us so the number of organizations is quite wide. I mean it could be somebody who has synergy on the technology side as you suggest, it could be on the marketing side it could be on the film side. So I think we have instructed UBS and Allen to go out with a very wide scope so I don't think we are limiting it.
Q - Matthew Harrigan: The film slate looks great. Congratulations.
A - Richard Gelfond: Thank you.
Operator: Thank you. And your next question comes from Marla Backer with Soleil Research Association.
Q - Marla Backer: Thank you. Couple of questions. First of all, given the strength of the '06 film slate and a lot of it is due to the 3D nature, the CG nature, does it make sense going forward given that IMAX is becoming such a solid factor in the family entertainment market, does it make sense to continue with R rated films like V for Vendetta?
A – Richard Gelfond: That’s a good question and something that was debated internally and we obviously discussed with our partners over at Warner Brothers. V for Vendetta notwithstanding its R rating is a really great film and is going to look spectacular in IMAX. When we were discussing with Warner's, I think one of the things that we were talking about was balancing with IMAX brand. At the end of the day I think we feel that there is a place for really great movies that will look great in IMAX Theaters. Now you are not going to see V for Vendetta on a Tuesday morning at 11 o’clock for a school group. On the other hand on Saturday nights out there and hitting some of the broad sweeps of the movie going public, we think it will do well.
Q -Marla Backer: Okay, and switching topics, do you have any sense on for instance the AMC joint venture, is that a business model that you, how is AMC, what kind of response are you getting at this point now that AMC has had those theaters for a while. And is joint venture something we should expect to see more of going forward as you sign new contracts?
A - Richard Gelfond: The AMC results so far are pretty good, Marla. I think they are taking a wait and see attitude though because remember they opened some of them and they have only shown one or two films since they have opened. So there is not a lot of history there. I think there is going to be a lot of history very soon because they are going to have a film open every six to eight weeks starting Friday for the rest of the year. And AMC is directly told us that if they do well they are interested in talking about more, and if they don't do well they are not. So I think they will watch the results. I think we find that model to be extremely attractive as I think we have said on other calls if you present value that to IMAX in terms of gross profit, it’s anywhere from 50% to 100% more than our standard deal. We like it very much and we think it as a potential to expand our markets because one of the issues with exhibitors is the significant upfront costs. And if you eliminate the significant upfront costs, they are much more likely to come into our business. And as we said during the call, I think that is one of our reasons for pursuing strategic alternatives because we think the access to capital might enable us to do that on an accelerated basis. And remember every one of those deals we do that expands the network is another place where we could generate film revenues from when we release our slate. So we think that is a very effective way to build the network and depending how our process works out we would consider being much more aggressive.
Q -Marla Backer: Okay. And then last question and again on the '06 film slate, you talked about 6 PMRs, several of which are CG, 3D, and you talked about the strength of The Polar Express even in its re-release back in 2005. You didn't mention whether there would be another limited run of The Polar Express; is it something that you and Warner are talking about or you think you want to rest the film for a year in terms of this being a long-term perennial film?
A - Brad Wechsler: It is too early in the year. I think – Warner and we have not engaged in serious conversations about it yet but I think both Warner and we view the IMAX version of The Polar Express in 3D as a perennial, whether that means every year or every other year or it depends on whether their movies is up against in spacing, that will all be dealt on a year-by-year basis. But I think we and Warner's are both very enthusiastic about Polar’s ongoing potential in IMAX 3D.
Q - Marla Backer: Okay, thanks. And I am sure given how volatile the stock has been at certain different points in the company's history, I am sure that there are times when you will not miss these kind of conference calls, but I will.
Operator: Thank you. Is there anything further, Ms. Backer?
Q - Marla Backer: Oh no, sorry, thank you. That was it.
Operator: Thank you. Moving on we will hear from Chris Rowen with Robinson Humphrey.
Q - Christopher Rowen: Hi, thanks. Most of my questions have been answered but can you give us a little indication on what you think the tax rate is going to be in the first quarter, it has been jumping around?
A - Frank Joyce: Actually we are not planning on paying cash income taxes in 2006. However, we have certain Canadian capital taxes and foreign withholding taxes that we estimate from time to time and for budget purposes we are using a 10% provision.
Q - Christopher Rowen: Okay, thanks.
Operator: Next we will hear from Morgan Rutman with Harvest Management.
Q - Morgan Rutman: Hi guys, thanks for taking the question. I have actually a few, I guess to start with, although I know you don't want really want to comment on the process, can you talk about kind of in your estimation reasonably how long it should take to have this process play out. And would you think from an investor's perspective, would you think that we probably have some kind of signal about either how it’s going or where it’s going by the end of Q2. Is that a reasonable timeframe for us to look at?
A - Richard Gelfond: Morgan, given the nature of these situations, which we know, Brad and I know a little about from experience would have been educated on a great deal before this call, we’re dynamics start to happen to your shareholding including risk arbiters, who get involved and different people have various different agendas. So we have been strongly advised and convinced not to put benchmarks around a process like this. And I don't think we want to say X amount of months and then if it is X amount in three days people are running around saying your process is falling apart. I think given the nature of this asset and the wide swap that we are going to go and given the possibility that we may have to choose from very different kinds of alternatives, I think we don't want to put ourselves in that corner, Morgan. So, I think we just want to be flexible so we are going to leave it at that. In terms of how the process is going, I mean certainly when there are material developments, we are going to announce them as we are required to do. But we are certainly not going to provide a play-by-play analysis. I don't think that’s really in the best interest of the company or its shareholders.
Q - Morgan Rutman: I don't disagree but for the sake of argument, at the end of the Q1 earnings, when we have a Q1 earnings call, I think people are going to look for you to give us some kind of update other than to say the process continues. So I hope that you would be able while it is not play-by-play but at the points where you are going to talk to us I’d hoped you would at least try to give us a sense of at least where things are to date?
A - Richard Gelfond: Morgan, especially you who have been a long-term shareholder know that we try and give our shareholders a sense of where things are going. And if we can do that consistent with where we are at that point without jeopardizing anything we would really like to. But I don't want to commit to because who knows where we are going to be like.
Q - Morgan Rutman: I totally understand, and you have done a great job at that. And actually, my second question which – and you alluded to it a second ago, not to kind of revisit ancient and ugly history but we have been through this before. And so I guess my question is this and I hope maybe you can answer this. Obviously a lot of thought went into deciding to go down this path and to go down it in a public way. Knowing you too as well as I do, I have to believe that you would not have embarked on this path if you didn't think there was an extremely high likelihood of success especially given what happened in the mid-90s. Is that a fair estimation from an investor's perspective and someone who knows you that this was not undertaken lightly and you would not have done it kind of haphazardly that you had to have a high degree of confidence that we will resulted in some kind of partners slash deal at some point?
A - Richard Gelfond: I will answer it in a different way, Morgan. Brad and I are extremely sophisticated on these kinds of things, and I could assure you and everyone on this call that a great deal of thought and effort and preparation went into this. The timing was not arbitrary. We think that in 2000 that process was driven if you recall by our largest outside shareholder who had a huge position, which they subsequently sold in the Company and they believed that was the right time. And as you recall, Brad and I went along with that. I think if you fast forward to this period of time, we have a business model, which is working extremely well as evidenced by the results we just reported today. We're going into a period where we have films every six to eight weeks and we are already discussing a number of projects for '07. So, we just think it’s a good environment and we have given it a lot of thought.
Q - Morgan Rutman: Okay, that is fair. A couple other quick questions. You mentioned that with the right partner whether it’s through acquisition or otherwise you could expand the business model at a faster rate. Can you give a sense of like, we have been on a run rate I guess now for the last two years, this year and the forecast you just gave us for next year in terms of signings and installs; how much faster could that be with the right partner. Could it be at double the rate if it was the right partner?
A – Bradley Wechsler: Morgan, I don't think we want to quantify the rate but I want to go back to a couple of things that Rich said. For example the notion of accelerating joint ventures; I mean we have been talking about this company for years and years is the growth of the network and rate of growth of the network because of the scalability and the operating margins. So the notion of going to a company where we provide the inventory and we joint venture with an AMC by another name, and they are providing the real estate and the box and we are providing the equipment. Our cost to goods sold is such that we are going to do that in an aggressive way, that is a decent amount of capital. So if that capital is available to us, the notion of giving away the razors and selling the razor blades, it is a way to get volume, build a network quickly. And that’s an issue of capital. IMAX has been grossly under marketed when looking backward over time and it is not because we haven't had ideas but as a small public company we have been very, very careful about how we spend dollars in order to grow the company's net income, that is another area. Thirdly, which was alluded to, I mean we see tremendous opportunity in the eventual migration to digital for IMAX when we can deliver that high-quality IMAX digital projector and that again suggests working with technology partners. So those are three areas where we really think growth could somewhat dramatically accelerate if we had additional resources.
Q - Morgan Rutman: Okay, and two last questions and one was on digital. So, as it stands now, we currently depending on the deal that you have with the specific theater studio or theater, we're taking somewhere in the low double-digit percent gross. I think that’s something you have been open to telling us about and against that the biggest single cost is the print cost, is that the right way to look at it?
A - Brad Wechsler: The film size?
Q - Morgan Rutman: On the film size?
A - Brad Wechsler: Yes, I think that is actually correct.
Q - Morgan Rutman: And so if we can eliminate the film costs, and then maintain our double-digit growth, I mean it basically takes almost all of that and turns that from what is now a currently very good high margin business, net margin business to an extremely high net margin business because if we provided digital, we take away our largest cost, it’s almost all net margin.
A - Brad Wechsler: That is correct, and if you add one other attribute is which is if we are successful in getting the network larger more quickly, if you combine that, that again is even better for margin growth.
Q - Morgan Rutman: Exactly. Okay and last but not least, the slide that you gave us last year at the Analyst Day, which was kind of a let's look at IMAX maybe out three years and what could it be, and I think that came down and it parsed down into an earnings per share number that was totally hypothetical and obviously not a projection on your part. But, all of the same building blocks in place today that would lead you to that same potential outcome, is anything changed that would make you think, that that isn't still a doable hypothetical two or three years out?
A - Richard Gelfond: I don't remember the number and I don't specifically want to comment on the timeframe but if anything, I think just the pieces in place, in terms of the theater performance and the films being locked in make us more confident in the viability of the business model. But how that translates into that number I really don't remember Morgan, but I do strongly believe that the pieces are stronger than they were a year ago.
Q - Morgan Rutman: Got it, okay congratulations and good luck guys.
A - Richard Gelfond: Thanks.
Operator: Thank you. Next we will go to Michael Kelman with Susquehanna.
Q - Michael Kelman: Great thanks, just a quick question, I believe earlier you talked about the average box office performance in 2005 for the multiplex theaters of around 870,000 as opposed to the commercial average of around 1.2 million. I'm just trying to understand why the multiplexes are running lower than the total commercial and how you get that number back up closer to the average?
A - Richard Gelfond: The answer is – there are really two answers. One is they have less seats in them in general. The total commercial includes 500 and 600 seat theaters and the multiplex theaters have usually about 300 seats in them; that’s one reason. Two, how you get it back up, you have more films; last year we had four films and we did the 870. I mean it should be somewhat linear meaning that if you do six films instead of four, do the math you should do one-third more than 50% more, than we did with the four films. And then on the third thing I add is that the million dollar box that generate the million dollar per screening that generated the three year IRR was based on a cannibalization rate of about 25%. Meaning that IMAX brought in a 75% incremental audience. The actual data seems to indicate that cannibalization is closer to around 10%, meaning that the audience is 90% incremental. So that number the 870 number, it’s pretty much still a three year payback.
Q - Michael Kelman: Great and one other quick follow-up question, with regards to Open Season, is your DMR deal with Sony similar to the deals that you structured with Warner Brothers whereby you keep a piece of the box office because if I'm right, I remember the Spiderman deal because of the urgency of putting it together didn't have that same type of economic relationship?
A - Richard Gelfond: It’s similar in that we keep a piece of the box office but obviously it is confidential given that we deal with a variety of studios.
Q - Michael Kelman: Absolutely, great thanks guys.
Operator: Next we will hear from Peter Siris with Guerilla Capital.
Q - Peter Siris: Hi guys. I am curious, and I am going to follow-up on the last question; not asking for earnings projections but if I were to -- if this company were not in the process of recognizing whatever value and you were going out at whatever run rate you are continuing, if I were to look out say four or five years, what percentage of my earnings would start to be coming from the ongoing theater revenues as opposed to the sale of the systems? Because it’s sort of my guess that that business, the ongoing revenues are going to start to ramp up and be a bigger part of earnings? Is that a reasonable guess?
A - Brad Wechsler: Your guess is correct, Peter. In our long-term model, we see much more significant, if you look at lines of business and rate of growth, certainly recurring revenues from theater operations particularly as an outgrowth of joint ventures on the one hand. And the other is the point that Rich made before, when you see that’s - when you see that occurring in the network it is larger, the rate of growth and DMR revenue is also reasonably significant which is also a recurring revenue stream.
Q - Peter Siris: And is there anyway to figure out how big that could be, in other words if some of us trying to figure out what this company could be worth. We have to try to figure out how many theaters you could sell and what the revenue is going to look like somewhere down the road because that’s what a private, an acquirer or joint venture partner is going to do. Is there anyway we can model that?
A - Brad Wechsler: Yes, use a variance of what Rich said yesterday, with a one syllable answer -- the answer is yes. I mean yes that’s the process we’ll have to tell an intelligent basis model expectations of the future and either apply a multiple or discount back.
A - Richard Gelfond: Peter, part of the answer, and it is part of the answer to your first question about the crossover is how you run the business. I mean you keep your model which we’ve been using today of leasing the system, which generates maximum sort of a short-term earnings. Or do you go to more of the JV structure which will somebody ask about, which might generate lower short-term earnings but higher recurring revenues. And I think depending who the potential partner is, they are going to look at it in different ways, so I think that kind of the exercise you need to go through.
Q - Peter Siris: Okay, I have one more question I want to ask about partners. A minute ago when you were referring to an AMC kind of partner, I mean it’s clear that people who are in the exhibitors would probably be interested. But I want to ask about the other end of the spectrum, which would be the movie producers. I guess Time Warner; I think owns HBO and they seem to show movies from a lot of other people. Is that an end of the spectrum where you think it could be interest?
A - Richard Gelfond: Peter again, as we have said we don't really want to comment on any specific buyer or any specific group of buyers, we could articulate a case for a broad range of buyers having a potential interest in IMAX. And obviously since we’ve created a separate distribution window people in general who create content for that distribution window may find value in linking up in some way.
Q - Peter Siris: Thank you very much.
A - Bradley Wechsler: I think the next question will be our last one.
Operator: Our final question is from David Moskowitz with Friedman, Billings, Ramsey.
Q – David Moskowitz: Hi thanks great quarter, guys. Congratulations on a good year. Just wanted to get some clarity on the backlog, the number of systems is 62. Could you tell us how many of those are DMR? Or I'm sorry DMX or MPX or rather -- I will get right.
A - Brad Wechsler: Right, being a specific number I think it is the vast, vast preponderance, but Frank do you have the percentage?
A - Francis Joyce: I have it here somewhere Brad, I will find it.
A - Brad Wechsler: While Frank is looking for the exact number, is there another question that you had or is that –
Q – David Moskowitz: Yeah and just the other question is you indicated one install in the first quarter -- should we assume that the AMC installs are finished and that this would be a regular normal install in some other -- someone else's venue?
A - Richard Gelfond: Yes, it is not a joint venture, it is a revenue recognition.
Q - David Moskowitz: Right.
A – Francis Joyce: Roughly 61% are MPX.
Q – David Moskowitz: 61% are MPX, okay. And then lastly, just with regard to the install guidance for the year 38 to 45, was obviously with one in the first quarter can be pretty heavily loaded toward the backend, I was impressed that you guys were able to do 14 in the fourth quarter, that is I think a record for the company.
A - Richard Gelfond: Yes, it was.
Q – David Moskowitz: Should we think about the majority of these things occurring in the second half of the year this year?
A - Richard Gelfond: I think backend loaded means the majority will be in the back half of the year.
Q - David Moskowitz: Okay, and do you feel at this time that it could be likely to be as heavily weighted as it was this year?
A - Richard Gelfond: I think I gave sort of a whole answer before when someone asked that the difference in the low-end and the high-end is signed and installs, and I think we have a very good film slate and it is incredibly difficult to predict whether people want to install in time for Superman or Ant Bully or Open Season or I just think that is impossible to predict.
Q - David Moskowitz: And the window has shortened considerably; I mean how quickly do you feel that you could put an MPX in after signing if the other party is able to complete the retrofit work?
A - Richard Gelfond: 30 to 60 days.
Q - David Moskowitz: That’s great. Well congratulations, guys, good year.
Bradley J. Wechsler, Co-Chairman, Co-CEO: Thank you. I think right before we wrap up, I would like to make a couple of comments. One of which makes us here at IMAX a little sad and that is that we would like to mention that Steve Abraham, who is our Senior Vice President of corporate development has decided to leave IMAX to pursue a very exciting opportunity. He is going to be going to Reuters to help them launch a new proprietary research product that has high-value content targeted to Wall Street, so hopefully a lot of you will be his customers. Since Steve joined us seven years ago, Steve has made great contributions to many areas of the company's progress, not only in IR where a lot of you know him but also in corporate development and overall strategy. And we at IMAX are very, very grateful for all of his efforts. We wish him all the best and are very, very sad to see him go. As many of you know and as I just said, Steve has had the responsibility for IR among other areas. In light of our announcements today, we don't have immediate plans to hire his replacement. Instead we have retained Integrated Corporate Relations to handle our IR work, and as we explore the company to next step. And we would ask people to direct any inquiries to Tom Ryan or Amanda Mullins whose contact information is on today's press release. So once again thank you all for joining the call today and given our accomplishments today our successful efforts to position the business for the next significant growth phase. We hope that you all agree that IMAX is at a very, very exciting juncture and we look forward to updating you when it is appropriate. Thank you very much and good bye.
Operator: That does conclude today's conference. Thank you for your participation. You may now disconnect.